Operator: Good afternoon, ladies and gentlemen, and welcome to the TriplePoint Venture Growth's Fourth Quarter and Fiscal Year 2016 Earnings Conference Call. At this time, all lines have been placed in a listen-only mode. After the speakers' remarks there will be a question-and-answer period and instructions will follow at that time. This conference is being recorded and a replay of the call will be available as an audio webcast on the TriplePoint Venture Growth website. I would now like to turn the call over to Trevor Martin. Mr. Martin, please go ahead.
Trevor Martin: Thanks, Danny. And thank you everyone for joining us today. Here with me are Jim Labe, Chief Executive Officer and Chairman of the Board; and Sajal Srivastava, President and Chief Investment Officer; to share with you the results for the fourth quarter and fiscal year 2016. Before I turn the call over to Jim, I would like to direct your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking statements, and remind you that during this call we will make certain statements that relate to future events or the company's future performance or financial condition, which may be considered forward-looking statements under federal securities law. We ask that you refer to our most recent filings with the Securities and Exchange Commission for important factors that could cause actual results to differ materially from these statements. We do not undertake any obligation to update our forward-looking statements or projections unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.tpvg.com. With that, I'll turn it over to Jim.
Jim Labe: Thanks, Trevor and welcome everyone for our fourth quarter and year-end earnings call. Last quarter, I used the baseball analogy to describe the venture lending business and our strategy at TPVG. Our business has always been about the nine inning game of the season as a whole. It's not about an inning or two here or there or a quarter two. You need to know when to swing and went to take a pitch. You need a talented team, great coaches, proven game plan, and patience to be the winner. But we scored some more runs here in the fourth quarter 2016 and we really have a nice lead going into 2017. But what I am most excited about is that the top of the line-up is now getting ready to bat here in 2017 and we believe we're poised to sweep the series. Why do we feel so good for the series? First, our select VC investors continue to attract much of the capital flowing into the VC asset class. And they are actively deploying this fresh capital into new and existing high growth technology companies. Second, our reputation, brand and track record in the market continues to resonate and differentiate us. We're seeing record levels of inbound increase and referrals of high quality venture backed companies. Every single one of them is looking for debt to grow and accelerate to businesses. Third, the trend is really strong and continues for M&A an IPO as we start getting into 2017. This is backed up by activity. There seems to be a pick up that is on its way for the industry as a whole. This includes the one high profile tech IPO, and the several high profile acquisitions we experience in our portfolio during the last two quarters, and the events we've already seen so far in the portfolio this year alone and that's only two months or so into the year and several more under way. Our Nutanix IPO was a case in point was the largest venture capital backed technology IPO in the third quarter last year. Other recent leading VC backed technology company exit such as Snap or AppDynamics. It all seemed to be further proof of this acquisition and IPO trend. Some industry observers out there are claiming we're only at the beginning of the tech IPO window coming back to life or in the words of one follower, that venture capital is ready to go and IPO in 2017. There is a great deal of optimism out there and window seems to be widening both for acquisitions and IPOs. Four, leading venture capital backed technology companies this year. Our portfolio quality remains strong and we continue to see customers raise capital and grow their businesses. From the batter's box, we continue to make great contact with our swings and hits resulting in winning deals with attractive returns. For some scouting reports out there of teams in other leagues; they're sitting it out in the dugout dealing with uncertainties happening now in spaces such as life sciences are clean tech or with little known sponsors or venture capital firms. But our whole team is on the field and in full force and swing. Our approach is simple. We play in the big league the majors, that's the only league I've played in for my entire career and I see no reason to play anywhere else. Given the success we had in the quality of venture capital firms and their portfolio companies that want to play ball with us. Before I had the call over to coach Sajal, let me point out some highlights from the fourth quarter and the full year. We had our highest level of investment funding's ever in a quarter a record $65 million of funding. We grew the investment portfolio to its largest ever almost $375 million, growing the portfolio for the sixth quarter in a row. We signed a $128 million worth of new term sheets during the quarter and already closed the majority of them. I'm proud to say we achieved our target leverage ratio once again as of the end of the quarter. Our quarterly portfolio yield was almost 14% and that was without the benefit of course of any customer prepayments in the quarter. Thanks to continuing positive portfolio developments, this concludes the equity financing rounds that were completed at Rent the Runway, Thrillist, Optoro, the sale of SimpliVity, which we recognized HP and the strong performance from several other customers. We recognized increased markups on an unrealized basis during the past quarter. For the full year, we closed at record level of $287 million of commitment. We also funded a record level of $159 million of investments. We're also equally proud of the portfolio companies that experienced the exit, which included some of the most high profile and highly visible in the venture industry in 2016. These are companies I've mentioned, such as Dollar Shave Club, Jet.com, Jasper, Nutanix these are the kind of high caliber leading venture capital backed companies we seek and believe continue to be in our existing and growing portfolio of companies. I'm really proud of the TriplePoint team we're fielding in their work and a strong finish to 2016. That's further testament to the brand reputation and experience of this All Star team. As we continue forward into 2017, with absolutely no change in the strategy. We believe our approach of working with our select group of venture capital investors is key as they continue to invest in the best deals and their companies continue to raise additional equity capital. We expect to take advantage of our reputation and relationship to grow the portfolio in a disciplined fashion. We see strong demand globally for debt from high quality venture growth technology stage companies. We are focused on being very selective and invest only in what we believe to be the very best opportunities. These are companies with substantial revenues and enterprise value with differentiated technologies and those that have strong equity support and meaningful cash runways to us. On top of this we have a best in class C fee structure for BDCs; it's highly aligned with our investors. This is an important point to us. We further demonstrate this alignment by purchasing our stock at various attractive points now having bought back almost $11 million of stock at prices accretive to NAV, since putting the buyback program back in place. To conclude, I'm pleased with our portfolio growth and the yield since the IPO. We plan to continue taking advantage of market conditions in 2017 to add to what we believe are some of the more promising and exciting venture growth stage companies. We're not pulling back out there. It's full steam ahead in this market. Our belief is that good things are going to happen as we continue to differentiate our firm and our approach. I'm going to step out of batter's box now, and let Sajal head up to the plate.
Sajal Srivastava: Thank you, Jim and good afternoon everyone. To reinforce Jim's point, we see strong demand for venture growth stage lending having signed $128 million of term sheets in Q4 and closed $93 million of new commitments with six companies. For the fiscal year, we signed $325 million of term sheets and closed $287 million of new commitments with 17 companies. Two new companies we added to the portfolio in Q4, include CrowdStrike a GreenChef. CrowdStrike is a company that received great press last year during the elections. They are next generation cyber security firm started by George Kurtz, the former Chief Technology Officer of McAfee that has raised more than 150 million of equity from Accel and Warburg Pincus and Google Capital. CrowdStrike was called in by the Democratic National Committee to respond to a suspected breach, and according to CrowdStrike they immediately identified the two allegedly state sponsored intruders and their software remediated the breach. This is a very high profile situation and a great win for CloudStrike. GreenChef is a subscription based certified organic meal kit provider tailored for 30 minutes food prep and cooking time. The company is the only provider with a certified organic vertically integrated supply chain, very large barrier to entry. The company hasn't publicly disclosed much detail about its equity financing history, other than its lead investor is new enterprise associates. During Q4, we funded a record $64.5 million of debt investments to eight companies and acquired warrants valued at $705,000 in eight companies. We funded 79% of the debt investments during the last two weeks of December. So we didn't see any meaningful contribution from them in Q4. For the fiscal year, we funded $158.5 million debt and equity investments to 14 companies. So far in Q1 17, we've closed $22 million of new deals and funded $9 million. We had no prepayment incoming in Q4, but our portfolio yield was still an impressive 13.7%. For the full year 2016, we had four prepayments totaling $39.8 million compared to six prepayments totaling $73 million resulting in a portfolio yield of 14.4$ compared to 17% for fiscal year 2015. Without the benefit of prepayments, our portfolio yield for 2016 was 13.7% compared to 15.4% for 2015. At year's end, our unfunded commitments totaled $117 million to nine companies of which $60 million is dependent upon the company's reaching milestones before the debt commitment becomes available to them. $102 million expires during 2017, if not previously drawn. With $25 million having already expired so far in 2017, in Q4 we had $6.5 million expire and we had $161 million expire or terminate during 2016 as a whole. Moving on to credit quality, we are pleased to report that as of December 31 the weighted average internal credit rating of the debt investment portfolio was 1.85, a material improvement from 2.05 at the end of the prior quarter and the strongest it has ever been. As a reminder, under our rating system loans are rated from one to five with one being the strongest credit rating, the new loans are initially generally rated two. During the quarter, we added $41 million of new loans to category two, $21 million of new loans to category one, $2.5 million of new loans to category three and upgraded $41.6 million of leases and loans from category two to category one. Most importantly there were no downgrades during the quarter and 36% of our portfolio has our strongest credit rating of one. During the quarter, we had three companies close private rounds of equity financing. First, Optoro and Rent the Runway; for the year seven companies raised approximately $520 million of equity capital, seven companies were acquired and one company went public. So far in 2017, we've had one customer raise additional equity Fuze and one customer SimpliVity close an acquisition. During Q4, we had a $200,000 realized equity gain primarily related to the acquisition of EndoChoice by Boston Scientific, which we have previously marked up in Q3. With regards to unrealized gains during the fourth quarter, we had $1.9 million of net unrealized gains on our total portfolio consisting of $4.4 million of net unrealized gain related to our debt portfolio and $2.5 million of net unrealized loss related to our equity and warrant portfolio. The $4.4 million unrealized gain on our debt portfolio breaks down as follows. $4 million of unrealized gain was due to marking up our loans and equipment financing to SimpliVity, due to its acquisition by HP Enterprise. HP agreed to pay off our loans totaling $30 million and take over SimpliVity's $12 million of outstanding equipment leases instead of pre paying them. These leases have IRR's between 12% and 17%, so not bad to have HP paying us those kinds of returns. We also had $1.1 million of gains related to marking up our loans to Rent the Runway and Farfetch due to strong credit performance and capital raises. We had another $1.3 million of net gains on debt investments to 13 companies due to seasoning as they move closer to maturity. These gains were partially offset by a $2 million markdown on our loan to Mind Candy as we expect to extend our loan with them in conjunction with an upcoming capital raise. The mark reflects the present value of the cash flows associated with the potential extension we are discussing with them. The $2.5 million unrealized loss on our equity warrant portfolio breaks down as follows; $1.5 million was related to the markdown associated with our equity in Nutanix a publicly traded company. $1.5 billion was related to the markdown associated with our warrants in SimpliVity. Another $1.5 million was related to quarterly marks associated with 13 other companies where either the comps were down or information was known regarding potential future value. These unrealized losses were offset by gains of roughly $2 million due to the equity rounds at Rent the Runway and Thrillist. During fiscal year 2016, all of our assets were valued at least once by an independent third party other than seven nominal warrant positions, which is consistent with our valuation policy. I would now like to cover some of the financial highlights for the fourth quarter and fiscal year. For the fourth quarter our total investment and other income was $10.6 million. As noted earlier, this represented the weighted average portfolio yield of 13.7% of which 10.4% was from cash coupon payments, eight tens of a percent was from the creation of up front facility fees and warrants, and 2.5% was from the accretion of end-of-term payments. We had no prepayments this quarter. Our expenses this quarter were $5.8 million consisting of our base management fee of $1.4 million, $1.2 million for our income incentive fee, $2.1 million of interest expense and $1.1 million of administrative and general expenses. For the fourth quarter, we've recorded net investment income of $4.8 million or $0.30 per share. As I mentioned earlier, we funded 79% of the debt investments during the last two weeks of December, so we didn't see meaningful income contribution from them this quarter. Had these investments funded at the beginning of the quarter, we would have received $1.8 million of more interest income or $0.11 per share prior to our incentive fee. In addition, we had no prepayments in Q4 despite events that were in process, some of which were taken into account with unrealized mark ups in our investment portfolio during the quarter, which I previously covered. In fact we announced earlier today, that we had we had two customers prepay so far in Q1 generating $2.8 million of accelerated interest income. As a reminder, our realized and unrealized gains totaled $2.1 million or $0.13 per share and as a result, our net increase in net assets resulting from operations for the fourth quarter was $6.9 million or $0.44 per share. On an annualized return basis, our net investment income represented a 9% return on average net assets and our net increase in net assets represented 13% return on average net assets. As of December 31, about 45% of our debt investments were floating rate. As you know the prime rate increased 25 basis points in mid-December and thus less the coupon rate on these floating rate instruments increased as well. As of today approximately 55% percent of our debt investments are floating rate and approximately 97% of our current unfunded commitments are floating rate as well. As of December 31, we had 99 investments in 33 companies. Our investments included 63 debt investments, 29 warrant investments and seven equity investments. The total cost and fair value of these investments were approximately $370.1 million and $370.4 million respectively. As of December 31, the company's net assets were approximately $215.9 million or $13.51 cents per share compared to approximately $214 million or $13.44 per share as of September 30. As of December 31, our total cash position was $15.5 million. At the end of the quarter, we had $115 million of debt drawn on our $200 million revolving credit facility; including our baby bonds we ended the quarter at approximately 0.78 times leverage which we are pleased to say approached the high end of our targeted leverage ratio between 0.60 and 0.80. For the first quarter of 2017, our Board of Directors declared distribution of $0.36 per share payable on April 17 to stockholders of record as of March 31. This marks the 12 consecutive quarters since our IPO, we have maintained or raised our quarterly distribution rate. With regards to distributions, in 2016 we generated net investment income of $23 million or $1.42 per share, which was approximately $200,000 or $0.02 on a per share basis short of our distribution in 2016. As we mentioned earlier, this was primarily due to the timing of investment funding in Q4 during the last two weeks of the quarter as well as delays or prepays from Q4 to Q1. Having said that going into 2016, we had $1.2 million of undistributed NII since our IPO were $0.10 per share leaving us with $1 million of undistributed NII or $0.08 per share going into 2017 and that's an addition to the earnings momentum we have so far this year. With that, I'll now turn the call back over to Jim.
Jim Labe: Thanks again, Sajal. At this point, we'll be happy to take your questions. Operator, can you please open the line.
Operator: [Operator Instructions] The first question is from Jonathan Bock with Wells Fargo Securities.
Jonathan Bock: Good afternoon and thank you for taking my questions. And I very much appreciate the baseball analogy Jim and Sajal. So may be talking about long-term gain here for a moment. We understand right now we have been in prepays the dividend it's about $0.30, you know $0.30 relative to the $0.36 or slightly below. You've got undistributed income that can fill the gap, you got momentum. We're still wondering how long would you go with a series of underpayments of the dividend? More importantly, you believe the current level of the dividend is more than sustainable without any additional equity issuance from this point on now that you're at full leverage. I understand that prepays will come and you've had some great successes, but oftentimes folks look at it its dividend level that if it's, well in excess of earnings power, stable earnings power not prepayment fee related that can cause some consternation in the event that the markets gyrate the way they did at quarter two. So talk about the long term stability of the dividend today relative to your earnings power without the prepayment fee?
Sajal Srivastava: Yes, no. Jonathan this is Sajal here. I think we look at it a couple ways. And so as we look at it with regards to ignoring prepayments, which again prepayments are regular part of the business but I understand the certainty associated with current cash pay and of turns and things of that nature. So at the high end of our target leverage ratio with the current portfolio yield we cover the dividend at $0.36 with the funded portfolio on its own ignoring the benefits of prepays.
Jonathan Bock: Great.
Sajal Srivastava: So now understanding that visibility and the guidance we've always given at least one prepay a quarter and I think we're going to extend that outlook for 2017 as well. Given the prepay activity that we've had so far already this year, you know interestingly enough we cover our dividend at the $0.36, at the very low end of our target leverage ratio. So to an extent that we grow the portfolio even more in 2017 or we have additional prepay activity which we expect. We'll then actually exceed our dividend ratio. So I think our perspective is again, high end of the leverage ratio we cover the dividend without the benefit of prepays but there are regular recurring part of business but you can't necessarily control exactly when they occur and we obviously have some dynamic because of that with the slippage from Q4 to Q1. But again with the [indiscernible] of 14% yielding portfolio it gives us a lot of room.
Jonathan Bock: Now that's good and we also see that in the environments where there is heavy prepay activity that will force leverage down you'll benefit from the earnings whereas in environment where they're less now that you've fully deployed the portfolio are you like going to cover it? So thank you. Then Jim another question and your comments about being on the field and to call in capital resounded those are very important points to folks. Walk us through for perhaps the differences is it that the sponsor community which you work and have known the biggest and the best for a long time. Is there just a difference in terms of sponsor activity based on who the sponsor is? Is it merely a function of your long clean tech are life science, which years is -- that those are the sectors that are amongst the most - they are having the most heartburn given the new administration. Talk about just that but the market element where you're saying, we're going to grow is it a function of who you focus on and where you focus or is it is it is it something different?
Jim Labe: Well, there are couple of different parts to that. But I guess I would boil it down by saying there's a, I don't want to say, I want to say a renewed optimism here in terms of the outlook 2017 particularly in the technology sectors and again you can look at things like Snap, AppDynamics and so forth, but what I think of is are select venture capital investors. Collectively, last year they raised just under $15 billion, collectively just some of our select sponsors. And outside if I think around $40 billion - $42 billion overall by venture capital fund raised this last year, so a lot of first capital out there. These are select investors that have some very interesting IPOs lining up, some acquisitions and it's I don't want to say good times in technology, I want to say it's a normalized time in technology and in particular you start adding that up with our brand, our reputation, our relationship limited to next to no competition and a record pipeline that we have and demand for debt. I want to get above the ski tips but it's pretty optimistic on these fronts.
Jonathan Bock: And then, speaking about optimism right, earnings, leverage etcetera; there is probably a better than expected chance that the stock slowly movies above book value, and in your view what is an appropriate level at which to raise equity capital understanding that it's been below for a while. We've seen folks some of whom might rush, which can be problematic and some of those might s might take a little bit more patience to their equity capital deployment or equity capital raised plans and trades at a higher premium. How do you look at an equity raise given you are so close to book value and where do you think an appropriate level sits on a price to book basis?
Sajal Srivastava: Well, I'll take this one Jim. So John, I'd first say that if we look at our first thesis is our shareholder alignment. So obviously, we got the fee structure that's best in class. But I'd add that we put in place a buyback program and we actually use it. So we think again of we can do the math just like you do in your great reports where even despite the fact that we have great pipeline, deal flow at certain perspective it makes sense to buy back shares and so we did it to show we're aligned and how we're able to do the math ourselves. So now we look at it on the other end from our perspective, I think we look at it two ways. One is the pipeline of opportunity and the quality of deal flow. So that to us is as we look to our sponsor relationships and what's out there, I think that drives us most importantly is wanting to make sure that we continue to work with the next greatest past venture growth stage company and support them. Now with regards to equity capital raise of course, even if we trade at book we're not happy. So we believe our franchise, our platform deserves a meaningful premium to book value and so we're in no rush to raise more capital. The beauty is we have had some prepayments this year which is capital that we can recycle and put to work, and so we're patient. But again, I think as Jim mentioned we see strong market conditions, the opportunity to grow. But we also wanted you to be patient with our investors and know that they'll reward us when we do good things.
Jim Labe: Yes. We're running this business for our shareholders and this is the best in class BDC in terms of what we set out here to achieve, so we're going to be consistent with that. And again with record levels of commitments, record levels of investments, a record pipeline here, we want to do what's best for shareholders and we're going to do it the right way and we're not going to do it the wrong way or in a rush and hit the market and our business will determine those kinds of things.
Jonathan Bock: Didn't that also bring up just maybe a few more, so an FDIC and your plans with an FDIC license?
Jim Labe: Yes. I'd say despite the track record our BDC trading below NAV, the onus is on us to follow up with the FDIC and the ball is in our court to come back to them. But our thought right now is just to wait, because we are trading above NAV and have some more scale. Our business is not dependent on that right now, our business is keeping up with the high quality, and the pipeline, and the deals at hand and maximizing things for shareholders.
Jonathan Bock: Got it. And then just the final two they're more investment specific. So you know, Virtual Instruments had a bit of a bump in the road, but given who you are and your operating history, I'd imagine that's improved materially. So one, maybe an update on virtual instruments and then only because it's a sizeable one but thinking about KnCMiner on the other side and how you're currently working through that investment and where you would expect it to go only because I've noticed in the queue that there was some risk of expected recoveries of cash from completed asset sales and equity and then you put them there in the foot note. So an update on Virtual Instruments is the success in KnC as you are currently still working through that one.
Sajal Srivastava: Yes, no. John I'll take the first one here. So with regard to virtual and I think you may have actually picked they did a press release at the end of the year in terms of yes, some great progress, great momentum in the business post-merger of Virtual. And then they actually did an acquisition to bolt-on some additional pretty cool technology. So from our perspective, I think a testament to our approach of working through credit situations of the company performing now above planned and up to really good things. And so we're very pleased with the progress and the outlook for Virtual. With regards to KnC, no real updates since the end of Q3 in the sense that again the last we left it as the company is really -- the process is controlled by the bankruptcy trustee and so they completed liquidating of certain assets and then negotiated the sale of the remaining assets to a company called GoGreen Light which is in the process of transitioning those assets from KnC to GoGreen Light and we're expecting distributions from the bankruptcy trustee to start late this quarter, early next quarter and so we continue to feel good about a full recovery there. Although we've kept them are marked down below our cost basis just to discount for time and risk, but we feel pretty good. But no material change since Q3 and we expect probably an update here late Q1, early Q2.
Jonathan Bock: Great. Alright, thank you so much for taking my questions.
Jim Labe: Thanks.
Operator: The next question is from Casey Alexander.
Casey Alexander: Hi, good afternoon.
Jim Labe: Hi, Casey.
Casey Alexander: John got to a lot of my questions. But let's see if I can come up with a couple more here. Of the eight companies that you funded during the quarter, six were bolt-ons and obviously the [indiscernible] came out actually early in the early part of a call. Can you share with us who the six bolt-ons were with?
Sajal Srivastava: I don't have that detail, sorry Casey. Let's see Rent the Runway, WorldRemit, MapR, I'm sorry. It was Xirrus, Rent the Runway, WorldRemit, Fuze, Farfetch, FinancialForce and then CloudStrike was the new investment.
Casey Alexander: Right. Okay. Am I correct on the GreenChef that's a new company to the portfolio, but it's really just a commitment you haven't actually made the loan is that right?
Sajal Srivastava: We received upfront fees and warrants, but they have not drawn yet.
Casey Alexander: And what's the size of the commitment?
Sajal Srivastava: Wait a second $10 million.
Casey Alexander: Okay. Well, I mean having seen that you've actually had companies that you got paid off without having made a commitment before, we pay attention to that sort of thing. Secondly, you went into a short dissertation on Mine Candy extended the loan there. So could you put a little more color on Mind Candy for us please?
Jim Labe: Yes, again we want to be mindful of the company in their capital efforts but as we mentioned. So we are in discussions with them to extend our loan given that the maturity date is currently scheduled for June 30 or July 1 and so as part of in conjunction with them raising more capital and we've agreed to extend the maturity date of our loans and so to give them as they raise more capital and give the company more runway, we've agreed to extend the maturity and the amortization of our debt. But it's an ongoing situation, it hasn't been finalized yet. But we took a mark against it in Q4.
Casey Alexander: Are they current right now?
Jim Labe: Yes, absolutely.
Casey Alexander: Okay. Next is, I'd like to ask about Harvest Power. It has a strong mark in the [indiscernible]. I was able to get down to that one. But there have been some issues with their situation in Richmond in Canada. Do you have it -- how important is that to the company and sort of how does that affect your view of that credit?
Sajal Srivastava: Yes, I think without again going specific into the strategies and kind of circumstances of harvest I think I kind of say high level, the great news is that they are an EBITDA positive company. So strong overall financial, profile plus they have very supportive investors and so from our perspective strong revenue growth, strong overall financial profile again to have a waste management company in the portfolio that's actually EBITDA positive is a great data point. And then they're up to really good things, really strategic things and so we feel pretty good about the outlook for it.
Casey Alexander: Okay. And lastly from a higher level, more strategic level because Jim was saying you got to know when to swing and you got to know when not to swing. Are there sectors that you are actively avoiding at this point in time or would like to de-emphasize in the portfolio?
Jim Labe: You know again, we're a bread and butter technology, lender technology investor, and so no surprise our portfolio is almost all technology and so we're particularly excited about tech, we don't really play in those other sectors. We're more opportunistic when it comes to things like life sciences or other high growth industries to the extent that our select VC's playing them. So I'd say overall we feel tech is particularly strong. There are subsectors of tech that we're very selective of AdTech is something that has gotten a fair amount of push back. There's a fair amount of hype with regards to augmented reality and virtual reality and drones. And so from our perspective, we're being thoughtful of it. But I'd say overall, we continue invest our bread and butter sectors are software, internet, infrastructure, and consumer. And so the VC that we run with those are the sectors that we are particularly excited about, as well FinTech that's another big area for us as well.
Casey Alexander: Right, right. Okay. I had one more and it just slipped my mind. I'll step out of the queue, if I can think of it, I'll come back in. Thank.
Jim Labe: Fair enough.
Operator: That concludes this afternoon's question-and-answer session. I'll turn the call back over to Jim Labe for some concluding remarks.
Jim Labe: Okay. Thanks. So I'll close again by expressing my appreciation to all of you for your continued interest and your support in TriplePoint Venture Growth. Thanks and I look forward to speaking with you all again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.